Operator: Good morning and welcome to the Second Quarter 2015 CommVault Earnings Conference Call. My name is Brandon and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded and I will now turn it over to Michael Picariello. You may begin, sir.
Michael Picariello: Good morning. Thanks for dialing in today for our fiscal second quarter 2015 earnings call. With me on the call are Bob Hammer, Chairman, President, and Chief Executive Officer; Al Bunte, Chief Operating Officer; and Brian Carolan, Chief Financial Officer. Before we begin, I'd like to remind everyone that statements made during this call, including the question-and-answer session at the end of the call, may include forward-looking statements including statements regarding financial projections and future performance. All these statements that relate to our beliefs, plans, executions or intentions regarding the future are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are based on our current expectations. Actual results may differ materially due to a number of risks and uncertainties, such as competitive factors, difficulties and delays inherent in the development, manufacturing, marketing and sale of software products and related services and general economic conditions. For a discussion of these and other risks and uncertainties affecting our business, please see the risk factors contained in our annual report on Form 10-K and our most recent quarterly report on Form 10-Q and our other SEC filings and in the cautionary statement contained in our press release and on our Web-site. The Company undertakes no responsibility to update the information in this conference call under any circumstance. In addition, the development and timing of any product release as well as its features or functionality remain on our sole discretion. Our earnings press release was issued over the wire services earlier today and it has also been furnished to the SEC as an 8-K filing. The press release is also available on our Investor Relations Web-site. On this conference call, we will provide non-GAAP financial results. The reconciliation between the non-GAAP and GAAP measures can be found on Table IV accompanying the press release and posted on our Web-site. This conference call is also being recorded for replay and is being webcast. An archive of today's webcast will be available on our Web-site following the call. I will now turn the call over to our CEO and President, Bob Hammer.
N. Robert Hammer: Thank you, Mike. Good morning everyone and thank you for joining our fiscal second quarter 2015 earnings call. As I noted on our last earnings call, we knew this quarter would be challenging given the size of our funnels and visibility entering Q2 and that it would take us several more quarters to get back to sustainable consistent high-growth trajectory. There were some bright spots to report such as our growth in EMEA and our Cloud Services group. Throughout the second quarter we continued to make progress on our planned transformation of CommVault to enhance our product and related go-to-market initiatives, strengthen our strategic partner programs and had additional field selling capacity. However, despite the strength of our strategic position, the depth and differentiation of our technology and our strong financial position, we did not execute well enough to meet our own expectations for the quarter. The good thing about execution issues are that they are within our control. Over the next few minutes, I'll have more to say about these issues, the specific actions implemented already on the way to address them, and the reasons we remain confident about CommVault's return to growth. Let me briefly summarize our Q2 financial results. Total revenues were $151.1 million, up 7% year-over-year and down 1% sequentially. Software revenue was $69.4 million, down 2% year-over-year and 4% sequentially. Services revenue was $81.7 million and grew 15% year-over-year and 1% sequentially. And from an earnings perspective for the quarter, non-GAAP operating income or EBIT was $26.2 million, down 31% year-over-year and 21% sequentially, non-GAAP EBIT margins were 17.3%, diluted earnings per share were $0.35. We generated approximately $32.2 million of cash flow from operations during Q2, ending the quarter with approximately $415 million of cash and short-term investments. CommVault has a proud history of growth and I see our current execution challenges as difficult but resolvable over the next several quarters. We have the markets, the underlying technology, the products, the distribution and financial wherewithal to solve these issues. Importantly, we have been working for over a year to make the necessary changes to our business to [indiscernible] expectation for future growth. We possess strong underlying business fundamentals, our target markets continue to have solid growth potential and we are well-positioned to take advantage of the increasing demand by both enterprise-level and mid-sized companies for product solutions and services that help to manage, project, secure and create value from the data. We have innovative differentiated technology that is recognized by our customers and third party analysts as the best in the industry, we have industry leading support with a very large satisfied installed base due to our best-in-class support and development organisations. In parallel to improving near term performance, our management team and the Board of Directors are absolutely committed to achieving our $1 billion plan over the next three years by building a strong foundation for growth based on building on our strategic data and information platform, extending our solutions to cloud-based services, continuing to move to targeted standalone solution sets that are priced and packaged for key markets, expanding our position in mobile, dev test, DR analytics as well as moving into selected vertical markets like healthcare and continuing to develop strategic services and creating proactive automated support services. Underpinning these efforts is a strong pipeline of innovation including our R/3 release in fiscal Q4 and our next version of Simpana which is scheduled to go into beta next quarter. I mentioned on our Q2 FY '14, that's a year ago, earnings call that in order to take full advantage of the expanding market opportunities and deal with the expected rapid change in the markets, we needed to make major changes in how we package, price, deliver and distribute our lean solutions. Making these changes has required us to add significant fundamental additions to our core capabilities across the Company, including product management, pricing and the go-to-market and distribution capabilities. We knew making fundamental changes would be difficult and have inherent risks. Fortunately, we took those risks, we have made good progress on our initiatives and are now in a much better position to meet the new demands of our customers as well as put us in a stronger competitive position against both old and new competitors. I will provide further details in a few minutes on these issues. Let me talk about the action plan for improving the Americas and global license revenue sales growth. I realize we've been talking about issues in Americas for a couple of quarters now. The Americas problem has been a [separate] (ph) one to fix. The underlying issues that are making it difficult for the Americas team to achieve their objectives are also impacting our sales teams globally. As a result, we have taken a comprehensive global approach to accelerate global license revenue growth as well as reignite growth in the Americas. It includes focusing our field leadership and resources where they can have the biggest impact and accelerating the core transformative product, pricing, marketing and distribution changes. In regard to field leadership changes, Pete Kobs, our VP of the Americas, will be taking a critical newly created position as VP of Global Accounts. This is a new senior management position and we are fortunate to have Pete in this role with his experience, skills, energy and commitment to CommVault. Ron Miiller, Senior VP of Worldwide Sales will run day-to-day operations for the Americas and will immediately work to identify new leader to the American theater. I want to talk about accelerating the core transformative product pricing, marketing and distribution changes. As I mentioned earlier, we are in the process of accelerating our corporate-wide changes to products, pricing, channel and marketing issues that are being rolled out now. The objectives of these changes is to provide our sales teams with products and pricing that make it easier for customers to buy along with adding product and services that will open up new market opportunities. We are making good progress on our corporate-wide transformation and include augmenting our senior singular platform, capacity-based pricing model to standalone products with their own value propositions. These solutions are technically optimized to solve today's discrete customer problems. Product pricing is aligned to the way customers want to acquire their solutions and are delivered via different delivery models including appliances, the cloud or as on-premise software solutions. These products can be purchased through our expanded distribution channels and supported with more sophisticated marketing. The first series of these products began rolling out late last quarter. There will be another series of new targeted solutions that will roll out in our next quarter, our fiscal Q4. These products can be seamlessly integrated into our Simpana data and information platform and will allow customers to easily build towards a small or long-term vision. This is true especially for large complex organisations who are tired of managing a series of point solutions and are looking for ways to consolidate their key suppliers, facilitate and simplify the move to the cloud and the move to mobile, all to better manage their solutions. We are forecasting that the results of these product additions combined with increased distribution leverage and better organizational focus alignment will begin to positively impact revenue starting in our Q4 of fiscal '15. These product additions will provide a stronger foundation for growth for FY '16. We expect that it will take CommVault two or three more quarters to get back to improved levels of revenue and earnings growth. As a result, we are lowering our revenue and EBIT expectations for the balance of fiscal 2015. Specifically we believe revenues will be flat to slightly up sequentially for Q3 '15, we are forecasting improvement in Q4 over Q3. Our objective is to return to our historical growth rates within the second half of FY '16. We are forecasting improved revenue and earnings growth trend throughout FY '16 based on the successful implementation of our go-to-market model and productivity improvements in our largest and most mature markets, the Americas. In summary, we see our current challenge as difficult but resolvable. We have the markets, the products, the distribution and financial wherewithal to significantly improve revenue growth and profitability. Our vision and strategy are clearly defined and we have made structure changes across the Company to better execute on that strategy. Although we are not at all satisfied with our Q2 '15 results, the senior management team is united, committed and focused. I will now turn the call over to Brian.
Brian Carolan: Thanks, Bob, and good morning everyone. I will now cover some key financial highlights for the second quarter of fiscal year 2015. Total revenues for the quarter were $151.1 million, representing an increase of 7% over the prior year period and a decline of 1% sequentially. For the quarter, we reported software revenue of $69.4 million, which was down by 2% over the prior year period and down 4% sequentially. Revenue from enterprise deals, which we define as deals over $100,000 in software revenue in a given quarter, decreased by 5% over the prior-year period and 14% sequentially. Our average enterprise deal size was approximately $281,000 during the current quarter compared to $295,000 in the prior year period and $356,000 in the prior quarter. We continue to see strong utilization of our capacity-based licensing models, which has a direct correlation to the underlying volume of data under management. Capacity-based license sales represented 82% of our Q2 software revenue compared to 80% of software revenue in the prior year period. For the quarter, software revenues derived from indirect distribution channels decreased 8% over the prior-year period and represented 88% of software revenue. As a reminder, most sizable deals are driven by our direct sales force even though they are often transacted through the channel. The revenue mix for the quarter was 46% software and 54% services. Please remember, services revenue is a combination of both maintenance and support revenue and professional services revenue. From a services revenue perspective, our maintenance attach rates and renewal rates remained strong. Services revenue for Q2 was $81.7 million, an increase of 15% year-over-year and 1% sequentially. For the quarter, total revenue from U.S. operations generated 58% of total revenues resulting in a 5% year-over-year increase, while revenue from international operations generated the balance resulting in a 9% year-over-year increase. Internationally, EMEA had a very good quarter. We added approximately 300 new customers in the quarter. Our historical customer count is over 20,000 customers. Our breakdown of license revenue from new and existing customers was in line with historical ratios. Arrow, our largest distributor, continues to be a key partner for CommVault. For the quarter, revenue transacted through Arrow was proximately 36% of total revenue, growing 18% year-over-year and 6% sequentially. Our partnership with Hitachi Data Systems or HDS also continues to strengthen in all of our regions. For the quarter, revenue transacted through HDS was approximately 11% of total revenue, growing 56% year-over-year and 5% sequentially. This year-over-year increase was primarily in EMEA and the Americas. We also had solid year-over-year growth in revenues from our NetApp partnership and view them to be a key strategic partner of ours in the near and longer-term. Our resellers and distribution partners are very important to our growth and market reach. We have various programs in place with our resellers, systems integrators and storage partners and will continue to invest in such programs throughout FY '15. Some of these strategic initiatives we are working on will strengthen these relationships and we expect that these distribution partners will play an important role in our transformation. We also continue to add new strategic managed service providers and cloud service providers who use our products as the engine for them to provide data and information management services to their customers. With over 200 service providers already delivering cloud and managed solutions powered by Simpana, we are building a meaningful subscription revenue stream for CommVault. There is an increase in customer demand for such subscription based pricing models and this will continue to be a major area of focus for us during FY '15 and into FY '16. It should be noted however that our gradual shift to more subscription based revenue is not fully predictable and may have an impact on in-period recognized revenue. Now moving on to gross margins, operating expenses and EBIT margin; gross margins were 87.1% for the quarter. Total operating expenses were $103.8 million for the quarter, up approximately 22% year-over-year and 6% sequentially. Sales and marketing expenses as a percentage of total revenues increased to 51% in the current quarter, which was up from 44% in the prior year period. Non-GAAP operating margins were 17.3% for the quarter resulting in operating income or EBIT of $26.2 million. On a year-over-year basis, Q2 EBIT decreased by 31%, Q2 EBIT margins decreased by 930 basis points year-over-year and 430 basis points sequentially. Non-GAAP net income for the quarter was $16.5 million and EPS was $0.35 per share, based on a diluted weighted average share count of approximately 47.3 million shares. Interest income net of interest expense on the revolving credit facility was nominal in the quarter. While there have been no borrowings on our credit facility to date, we do incur interest expense related to the commitment fee. We anticipate that we will have no net interest income for the remainder of FY '15 and net interest income before any potential borrowings will be minimal for FY '16. On a year-over-year constant currency basis, foreign currency movements did not have a significant impact on Q2 revenues and earnings per share. On a sequential constant currency basis, total revenue was impacted by 100 basis points. As such, total revenues would have been flat quarter-on-quarter, EPS would've been minimally impacted on a sequential constant currency basis. I would now like to spend a few minutes discussing our operating expense investments and EBIT margins. We had declining operating margins in Q2 mainly due to the shortfall on the top line. In addition, we had planned aggressive headcount additions as well as increased targeted spending on several investment initiatives such as our Cloud Services Group, our product management function, our go-to-market and partnering capabilities, and continued investments in product development, consulting services and support. We added 122 net employees in fiscal Q2 and ended the quarter with 2,195 employees. Most of the net new employees hired in Q2 '15 were field facing sales teams. Year-to-date, we have made some good progress in hiring quota carrying sales teams globally and will continue to do so throughout FY '15. We are also keenly focused on sales employee enablement, retention and redeployment in order to make sure we are ramping our headcount resources effectively and aligning them with high impact priorities. As we have stated in prior quarters, newly hired sales reps typically take about 12 months before they become fully productive. In the short-term, as we continue to hire and before the sales teams become fully productive, they will have a negative impact on short-term margins. As Bob indicated, we believe it will take a few quarters to put the Company back on a growth trajectory. As a result, we believe Q3 '15 revenue will be flat to slightly up sequentially. Our objective is to return to our historic growth rates within the second half of FY '16. As a reminder, FY '16 is the fiscal year ending March 31, 2016. Given the adjusted revenue growth rates and planned investments we're making now for FY '16 growth, we expect fiscal 2015 operating margins to be down by approximately 650 to 750 basis points on a year-over-year basis, which would indicate an annual operating margin range of approximately 18.4% to 19.4%. Let me now comment on tax rates and share count. We will continue to use a pro forma tax rate of 37% for FY '15. Our GAAP tax rate for the first half of FY '15 was 34%. We expect our cash tax rate to remain lower than our GAAP tax rate for fiscal 2015 and to be approximately 32% excluding any potential benefit from pending federal tax legislation. Our cash tax rate will approach our long-term GAAP tax rate over the next one to two years. For fiscal 2015, we anticipate that our annual diluted weighted average share count will be approximately 47.5 million to 48.5 million shares. Now moving on to our balance sheet and cash flows; as of September 30, our cash and short-term investments balance was approximately $415 million, down 15% year-over-year primarily due to cash outlays for the new headquarters buildout and share repurchases. Free cash flow, which we define as cash flow from operations less capital expenditures not related to the new headquarters, was $31.1 million which is up 34% year-over-year and down 9% sequentially. As of September 30, 2014, our deferred revenue balance was approximately $218.8 million, which is an increase of $27.6 million or 14% over the prior-year period and up $4.9 million or 2% sequentially. On a constant currency basis, the year-over-year growth of deferred revenue would've been 17% and the sequential growth would've been 5%. Please remember the vast majority of our deferred revenue is maintenance and support revenue not software revenue. As of September 30, 2014, our deferred software revenue balance represented less than 1% of total deferred revenue or approximately $950,000. For the quarter, our days sales outstanding or DSO was 62 days, which is down from 66 days in Q1 FY '15 and up from 53 days in the prior year quarter. The change is due to linearity within the quarter. During Q2 FY '15, we expended approximately $17.3 million on construction costs for our new campus headquarters. Our estimate of the total cost of this phase of the project remains to be approximately $135 million. Through September 30, we have spent approximately $107 million on this project and we expect to spend an additional $28 million during the remainder of fiscal 2015 with most of this being disbursed in calendar 2014. We expect to move into our new headquarters during the third fiscal quarter. As a result, we will likely incur approximately $4 million of expenses in the second half of fiscal 2015 which represent lease termination, moving and other nonrecurring costs related to our existing corporate headquarters. These nonrecurring expenses will be excluded from non-GAAP earnings. As a reminder, our annualized cost of the new headquarters which we will own outright will be approximately $8.5 million, of which $5 million will be reflected as depreciation expense with the remainder being operating expense. That concludes the financial highlights. I will now turn the call back over to Bob. Bob?
N. Robert Hammer: Thanks, Brian. As I already provided an overview of our strategy, I will now provide a brief overview of the changes in our organization required to successfully execute that strategy as well as more detail of our near-term initiatives towards improving near-term performance. We have strengthened our organization structure to successfully achieve our goals, improve performance and take advantage of the opportunities that lie in front of us. These changes include a new business unit structure which we have been working on for approximately a year; moving from a product management structure to a business unit structure to better focus on each unique market segment. We recruited business unit heads who have very specific expertise in our key target market areas. We just appointed a new chief technology officer, [indiscernible], who will support our business unit structure from a technology perspective. As we already reported, we have a new Chief Marketing Officer. Our introduction of stand-alone products has enabled us to develop much more targeted go-to-market strategies which are being driven by our new CMO. We have established a much more sophisticated pricing function. We've established a new program management function to ensure better alignment for broad Company-based initiatives. We also increased investment in our distribution organization which will establish tighter alliances with certain strategic partners, build a growth foundation with the MSP and cloud providers, establish a much stronger foundation with major systems integrators and establish much more proactive relationship with the public cloud providers. I want to talk about our business unit structure which has replaced the existing product management function within CommVault. The business unit structure is responsible not only for the technical roadmap but to also make sure that all the elements are in place to ensure that the strategic and revenue objectives of that unit are met. The business unit leaders are responsible to make sure all their standalone solutions have the elements in place for success in the market, including functionality, pricing, packaging, messaging, lead generation, channel programs and enablement. There will be five business units, Data Protection, Cloud Ops and Orchestration, Information Compliance, Mobile and Vertical Solutions. Four of those business units have already been established. The individual unit heads are all new to CommVault and bring very specific market expertise and fresh thinking into our expanding businesses. In order to help ensure coordinated alignment among the individual business units, these heads shall report to Al Bunte, our COO. I will provide an overview of key initiatives that we already implemented to positively impact growth in the near-term. I will also provide a brief overview of the next version of Simpana. So first I want to talk about the introduction of Simpana stand-alone solution sets. As I mentioned earlier, we are focusing on key actions in our core data management business that will enable us to rapidly build funnel and re-establish solid license revenue growth in the near-term. These programs being launched this quarter are based on our R/2 release and include targeted virtualization solutions, appliances and new NetApp [NACS] (ph) strategic partner programs. All these programs are focused on specific segments of the data protection and management market. These solutions address many new key customer requirements both in the enterprise and the SMB segments of the market. They include new innovation as well as simplified packaging and new pricing. All of the solution sets are being launched with much more sophisticated aggressive messaging, channel and lead generation programs. First of all, I'll talk about the data protection management and virtualization initiatives. CommVault has long been recognized as a leader for virtualized environments. We are now launching best-in-class standalone solutions for virtualized environments including VM provisioning and orchestration, data management and protection, and VM archiving for on-premise and in the cloud. Data protection in virtualized environment is the fastest-growing segment of the data management market. We have now enhanced that functionality to include VM management combined with advanced data management functions, all this functionality at price and package of standalone products which make it easier for customers to buy and partners to sell. The initial response from the market on our standalone VM protection solutions has been positive and is a good early validation that we deliver best-in-class products that are priced and packaged correctly. Next I want to talk about our CommVault NetApp-based appliances. Increasingly end users in most segments of the market are looking to address their data management challenges through fully integrated backup appliances. CommVault's strategy and appliances has always been to engineer a series of industry-leading innovative appliances that enable our channel partners around the globe to build and deliver those appliances with partner chosen hardware and embedded Simpana software. The newest appliance being released in the U.S. and Canada this quarter is the CommVault backup appliance in partnership with NetApp that combines Simpana software and then with E-Series storage. The appliance will be configured and delivered by our trusted distribution partners beginning with Arrow and Avnet. These partners will offer a single bundled partner SKU from distribution from distribution that also includes CommVault's industry-leading first line support. We will recognize the software only. The international launch of the CommVault backup appliance is targeted for Q1 FY '16. Fujitsu is also launching a CommVault branded appliance in Europe this quarter. This is all part of our broader strategy working with multiple partners in multiple geographies to offer appliance options across a variety of data management areas such as backup, deduplication, archive, cloud gateway and native copy. CommVault will continue to focus on software innovation, delivery, service and support. Let me also talk about fast access and native copy. There are many use cases where user wants very fast data access and quick recovery. In order to do that, customers want data stored in native format so that it can be instantly available for use. Native copy allows data to be stored in the same format as it was created by the original application so that it can recover without having to recover from the data from a backup copy. We have had native copy recovery capabilities embedded in our software for some time and have championed its use with customers. R/2, we delivered native copy capability for virtual environments including live browse, live recovery and live sync. We do the best of both worlds in that we provide native format capabilities with very efficient cost-effective storage infrastructures. In addition, we store data that is fully secured and indexed and can be used for long-term retention, compliance, search, legal and analytics. We are delivering this functionality with our platform as well as standalone solutions that are packaged and priced so that customers want to buy with significant more functionality, scalability and much lower cost of ownership compared to the new entrants in the market. There will be additional new standalone solutions in the near future. We are planning to introduce additional R/2 and R/3 standalone solutions including disaster recovery, dev test, enhanced mobile capabilities and cloud archiving. In addition to all this, we have been working on a major new version of Simpana. The next version of Simpana which will be released in FY '16 is a major rewrite of the platform that will create an open platform which customers are demanding as a shift to building IT infrastructures on open components that they perceive will get them out from under vendor lock-in. By open we mean anyone will we able to access and read data that we store under more sophisticated security functionality and there will be APIs throughout the stack. In the next version we will also be making substantial changes in how we index and transport data. These enhancements will have significant cost performance, scale, access recovery and security advantages. When we are able to share with you the increased depth and breadth of the next Simpana, I promise that we will continue to technically distance ourselves from our competition with innovative high-value solutions. I will address this further on our next earnings call. Please note that the development and timing of any release as well as any of its features or functionality remain at our sole discretion. So let's talk about our plan to reignite growth in the near-term. We have implemented a corporate-wide comprehensive plan for our business with a specific focus on enabling our global sales teams to increase growth, reignite growth in the Americas and build a foundation for getting back to historic growth rates. Specific to the planning for those initiatives to improve field leverage and productivity, the introduction of new standalone products to provide more channel leverage and provide many more entry points into the enterprise, we have added targeted resources and established aggressive incentives to drive near-term growth from our channel partners, we are launching new strategic partner initiatives, we are implementing new demand generation capabilities, we are adding additional incentive for our sales force globally tied to the new product and partner initiatives and we are continuing to focus on enabling and increasing sales capacity through both retention and recruiting. In closing, our vision and strategy are fully defined, we have taken comprehensive aggressive actions to improve near-term and long-term performance, we continue to have expanded market opportunities along with an increase of our leading products and services, we have developed a deep product pipeline that includes the next generation of Simpana, we have made a lot of progress in making our core transformative changes. However, making these changes is complex and it will take us several more quarters to see significant financial impact from our transformation initiatives. As a result, we have lowered near-term expectations. We believe the actions we have already taken and the plans we have developed will enable us to significantly improve our performance. All these things together has put us on our course to get back to historical growth rates in the second half of FY '16 and achieve our billion-dollar plan objective. I will now turn the call over to Michael.
Michael Picariello: Thanks, Bob. Operator, can we please open the line for questions?
Operator: (Operator Instructions) From BMO Capital Markets, we have Joel Fishbein online. Please go ahead.
Joel P. Fishbein - BMO Capital Markets: Just, Bob, on one thing, last quarter you guys implemented a new or increased buyback program and I noticed in this quarter you didn't buy back any stock. Was there any reason for that?
N. Robert Hammer: We always take an opportunistic approach on our share buyback, Joel, and we certainly have the wherewithal to do it, and using some common sense I would say that given that opportunistic approach we will act appropriately.
Joel P. Fishbein - BMO Capital Markets: Okay, and then one follow-up for Brian. Brian, deferred revenue was up nicely. I know majority of that is driven by services and maintenance, but was there anything specific in there that drove the 14% growth in deferred?
Brian Carolan: I'd say in the long-term maintenance contracts, we saw a tick up there nicely this quarter, so we had the sale of multiyear maintenance contracts this past quarter.
Joel P. Fishbein - BMO Capital Markets: Would that be new sales or was that on existing customers that just renewed?
Brian Carolan: That will be both new sales and existing.
Joel P. Fishbein - BMO Capital Markets: Okay. And then one just quick follow-up for Bob. Bob, so clearly you outlined some initiatives to obviously reaccelerate the growth and position the Company. What gives you the confidence that this is not a secular issue and more an execution issue internal to CommVault?
N. Robert Hammer: One, it is an execution issue if you think about it. We've been highly focused on the enterprise and the cloud and move resources there. The cloud business is going pretty well and the buying for the big enterprise deals clearly has been off industry-wide. That's not an excuse, it's just a fact. And we left ourselves more wide open both from a resource standpoint and from a product standpoint in the mid-market, and we knew that, there's nothing new there. I mentioned it a year ago. It has just taken us a long time to get these products to market, change our pricing, change our packaging, build our appliances and get all that out to market which is rolling out this quarter. In addition to that, when you're making substantial changes, we had to put the organizational structures in place to execute all that and we're doing all that in parallel, [inaudible] we're doing a knee surgery on ourselves while we're running a marathon. The good news is that all that's in place and now all that is rolling out and we're getting good response from our customers and partners, and the proof of all that is how we do. I mean internally for the management team, we don't like the numbers but we're really – we feel really good about where we are in the industry and our ability to bring products to market with this structure significantly faster than we have before because it's all in place and we're moving right now. So the odds are certainly way with us versus against us right now and I think you can tell from just our attitude here that we [indiscernible] planning, we know exactly where we're going, we know how to get there, and we've got all the capabilities to do that. So again, not happy about the numbers but we're feeling really good about where we are from a strategic and tactical position.
Operator: From William Blair, we have Jason Ader on line. Please go ahead.
Jason Ader - William Blair: Bob, if you kind of zoom out and look at last several years, what do you think went wrong to get you to the point where you need to do such a significant reset in the business?
N. Robert Hammer: I mean clearly we should be growing north of 20% not 7%, and we knew we had to make these changes, Jason, we've been talking about it, it just took us too long. So I mean what I'm summarizing is we shifted resource as the enterprise left the mid-market open, so we became more vulnerable there, didn't get our products out in time and didn't get the growth in the mid-market that we had previously. So it's just a question of it's tech and if you're not moving extremely quickly when you see these things you will run into some issues, and we did.
Jason Ader - William Blair: In the large enterprise, what do you think has gone wrong in the last – I guess it's been more mixed in the large enterprise but is there something that you need to fix there?
N. Robert Hammer: I think on the large enterprise in certain segments of our theaters, we're doing extremely well in the enterprise and when you get underneath the numbers I know it doesn't show up in just how we report but underneath our enterprise business in general is okay. There are clearly some things we can do better on execution there, we've got the platform, we've got the people in place. And the other thing we have now which we didn't have is a much better ability to gain [inaudible]. When enterprise spending slows down, which it is right now, there's still lots of business in the enterprise, it may be in to solve discrete problems, and when we had our capacity-based pricing model and didn't have standalone products and didn't get our messaging crisp, it was more difficult for us to get business for those discrete standalone customer, solve those customer issues. Now we've got the product. So it allows – whether it's mobile or whether it's in the virtualization space or whether it's for native copy, for things like dev test, now we've got the ability to give our sales teams standalone solutions that they can build within an enterprise account without just doing a major rip and replace. So I mean I don't think there's anything really fundamentally wrong with our enterprise strategy, we just enhanced it, and now we're going to be a lot more aggressive in mid-market. And if you look at the numbers, in our round numbers, 60% of our business comes from enterprise and 40% comes from the mid-market, and the issue if you get underneath it is not been so much an enterprise problem, it's been a mid-market problem and what we're doing now is enhancing our ability to improve growth in both those segments.
Operator: From Stifel we have Aaron Rakers on line. Please go ahead.
Aaron C. Rakers - Stifel Nicolaus: When I look at the commentary with regard to the current quarter expectations being flat to slightly up, it would seem to imply that you're assuming as much as a double-digit year-over-year decline in software license revenue. So how do I think about that relative to what was the prior expectation of building your pipeline and funnel for the second half of the year, what has changed relative to that commentary coming out of the June quarter, and then I do have a follow-up?
N. Robert Hammer: Good question, Aaron. Clearly we have seen strong pipeline build early in Q2 and we saw that decelerate as we came out of the quarter, and so our outlook for Q3, Q4 changed, negatively changed as a result of that lack of significant pipeline growth which was surprising to us. [Indiscernible] We started to see it late, sometime in the late August-September timeframe, that funnel growth momentum slowed down. It's now picking back up again by the way but we had that period of slower growth and that changed our outlook. So, that few months of not achieving our funnel objectives was a surprise.
Aaron C. Rakers - Stifel Nicolaus: And, Bob, so with that you would say that your funnel and your pipeline is equally down double digits year-on-year, is that a fair assessment?
N. Robert Hammer: No, it's not. No, that is not correct. In fact, I think our funnel is starting to pickup and improve year-on-year now. I'm just looking at the numbers. So our funnel if you look back a year ago it's I'd say relatively flat but it's improved, and our funnel for the third quarter, it's flat but it was declining now it's improving I guess would be the best way to describe it.
Aaron C. Rakers - Stifel Nicolaus: Okay. As a follow-up to that and I think tied to that, clearly we've had now three quarters where you've reignited or focused on reigniting your sales hiring which looks like it's showing up. So two questions with that. Are you not seeing necessarily the productivity ramp albeit understanding it's a 12 month ramp to get to full productivity but are you not seeing those hires start to contribute to that pipeline and funnel? And then on top of that, is there anything to be said about possibly whether or not there's some churn within the Company and any kind of commentary on that would be helpful?
N. Robert Hammer: In regard to productivity, you're correct. We did not see the normal productivity gain in our sales force, and if you get underneath it, given the current market dynamics out there this is not – the underlying cause is primarily in product pricing and packaging and tied to shifts in the market versus poor sales execution. So from a senior management team, we are trying to look at this fundamentally on how do we solve the fundamentals and enable our sales team to be more productive and now we just rolled out a series of products and initiatives that help them do that. So we're on the path of seeing funnel turnaround and the outlook improve but until we validate all that with hard performance we're resetting expectations what I would say is realistically and how we see it right now.
Operator: From Piper Jaffray we Andrew Nowinski on line. Please go ahead.
Andrew Nowinski - Piper Jaffray: I'm just wondering where you're at with regards to your hiring in your baseline, going to your baseline sales capacity level. I understand the productivity isn't quite there yet but are you done with the hiring phase yet or are you at the baseline where you want to be at?
N. Robert Hammer: Globally, we have made progress for our global sales force. International sales force, we are pretty much there but to hit our numbers we'll be continuing to hire. In the Americas we made progress but not enough and we'll be continuing to hire in the Americas. The pace of hiring however relative to what we did in Q2 will decline corporate-wide pretty significantly over the next two quarters. We'll be hiring but at a lower pace.
Andrew Nowinski - Piper Jaffray: Okay. And then in the mid-market space, you noted that you're more vulnerable there. Which vendors do you think works making that vulnerability making it more difficult on CommVault in that market?
N. Robert Hammer: There are a lot of new vendors in that market and what's disappointing internally is our technology on a relative basis is significantly better than anybody else out there. So it was a packaging, pricing, go-to-market issue not a technology issue. And I'm not going to go through them all but there are a number of smaller competitors that have done pretty well in the mid-market and now we're moving ever-aggressively not only on the product side but on the go-to-market side to make sure we achieve our mid-market growth objectives. It's very doable because we got the channel partners, we got the products now and we got the sales force and now we just got to execute.
Operator: From Pacific Crest we have Brent Bracelin on line. Please go ahead.
Brent Bracelin - Pacific Crest Securities: Couple of questions from me, one on the quarter and then on the outlook pipeline funnel. On the quarter itself, I wanted to kind of better understand and decompose what exactly happened, and as I look at license revenue down for two straight quarters first time since kind of the banking crisis, I get the external environments during that period, but as we think about this environment the last six months, two straight quarters of license declines, how much of it is tied to internal sales execution, two, a change in packaging, pricing, or three, other external factors be it large enterprise deals down ticking here or the mid-market kind of erosion?
N. Robert Hammer: My view is that in spite of some decline in corporate spending on big deals and things like that, the bigger issues are CommVault's as we own it their execution issues. It has nothing to do with our underlying technology or strategy. Clearly we could have done a much better job faster in bringing to market standalone products that are priced and packaged the way customers want to buy, make it easier for channel partners to sell, and this is both in the mid-market and as entry points in the enterprise. So this was I'll call it 90% a CommVault product pricing, packaging, marketing, go-to-market issue, and then these other issues are secondary to that.
Brent Bracelin - Pacific Crest Securities: That's helpful. And then on the outlook, as a corollary to that, obviously 20% increase in sales and marketing over the last six months, little surprised you're not seeing the normal productivity gains given the level investments you're making in sales and marketing. How do you know the change in product pricing and packaging isn't resulting in a lower net spend by your customers? I'm just trying to understand here that…
N. Robert Hammer: Okay, let's just separate that because we knew when we did this that we would take some risk because we had to make very significant change in the Company in terms of just how we approach our market and not the underlying technology build which is still really awesome, but in order to do this we knew we had to change the way we develop products not the underlying technology and move that to business units so individuals who really understood how to take that technology, package it, price it right and then bring all the other elements to drive revenue in these different market segments. We didn't have that here, we had to build that. We had to build a much more sophisticated pricing function. We had it but to do this across four or five business units you needed to bring additional expertise in here, we had to make that investment. The go-to-market, once you have standalone products like this and additional platform, our whole way we manage our go-to-market capability had to change. So, with Chris Powell we have a CMO that [talk] (ph) to those initiatives. Our alliances and how our partner programs were had to change. So those are big fundamental core investments. Look, I knew there was some risk that we make the investments and our product won't catch up, that's not what our plan said but there was some risk attached to that. Those products and those initiatives are starting to roll out this quarter, all those capabilities. So the expense is there and the sales teams are there, now the products are there and they are starting to roll out at a pretty fast cadence. The other thing we wanted to do by the way is basically significantly increase the pace of product introduction to the market much more faster, much faster than we've been doing. That's all in place. The initial response to those product, and they haven't been out very long, we're talking about weeks not months, so if you think about the initial response has been outstanding and it's going to take us a couple of three quarters to put all that together so it turns up in license revenue, growth and productivity growth.
Operator: From Raymond James we have Michael Turits on the line. Please go ahead.
Michael Turits - Raymond James: You've gone over this I think in a number of ways but if you could again at a high level, could you just be as clear and simple as possible about exactly what you saw change in the market in terms of pricing and packaging that you needed to respond to and which specifically are the standalone products that you felt like you needed to get out sooner?
N. Robert Hammer: Okay, I'm going to summarize it and then I'm going to let Al talk for a minute. It was in the midmarket and some entry points in the enterprise. If you look at the big enterprise account dynamics and we compete against, fundamentally it's Symantec, IBM, EMC, the dynamic there has not changed very much and fundamentally our opposition with time has really strengthened. So it's the entry points whether it's mobile or it's compliance or it's virtualization or native copy capability, it is those discrete areas where we didn't have standalone capability and we were selling everything as I've been talking about over the last couple three quarters, everything is in a capacity-based platform model. That model does not work very well when you're competing against a competitor who was pricing on – like in mobile on a price per user per month or a virtualized competitor who is pricing by socket and we're trying to price the capacity-based platform by price per terabyte. I said this a year ago. That model just doesn't work and we got caught in two ways, one, we didn't have very many resources focused there and we didn't have the products that hit that market and we didn't move quickly enough. And I'll let Al kind of take it from here and give you a little more color on this.
Alan G. Bunte: Michael, one, what Bob just said, one, it doesn't work particularly in midmarket. I would argue it continues to work fairly well in enterprise sectors where they are interested in a combination of used cases. And as Bob said, the ones that are coming out are primarily the virtualization products, both protection and a broader [data] (ph) management capabilities, those we move from a terabyte front-end, metered and licensing model to a VM or socket perspective. We made some slight changes to our staff management program, we changed the mobile pricing from again terabytes to per user per month, and even on our e-mail archiving we changed that again from front-end terabytes to number of users, number of mailboxes. Bob also alluded to some of the products we're going to launch next quarter, dev test, DR, et cetera. Most likely most of those will have different metering than just front-end terabyte. The other last piece I'll mention is the appliance products that are coming out this quarter, obviously when you're bundling the pricing if you will to the backend appliance it tends to be backend capacity is what the metering will shift to. We've always been in the mode of front-end terabytes and again that's one of those practical fears of the market, particularly midmarket who wants to [buy that] (ph).
Operator: From Summit Research we have Srini Nandury on the line. Please go ahead.
Srini Nandury - Summit Research: Bob and Brian, I got a question on sales productivity with your legacy sales force, we have seen anecdotal reports that some of your best salespeople have been siphoned off by the upstarts in the industry. First, the question is, I mean is that true? And then the second thing is that, with all this new licensing, pricing, solution bundles you put in, are the sales force adequately trained and it looks like to me that the sales process has become a lot more cumbersome for these people to be effective?
N. Robert Hammer: I think those two statements are accurate. One, when you don't have the product that fit the market and it's difficult for those midmarket sales teams, and this is upper midmarket now this is not the lower end of the market, to achieve their objectives then they are going to look elsewhere to make money. It's pretty simple, it's the way sales works. So I think that is true. On educating the sales force, it is a lot easier now to enable the sales force when you're dealing with discrete products with a discrete message in that midmarket. It's just a much simpler process. So to your point, not only these products coming out but there's a lot more aggressive enablement tied to these launches and these are rolling out this quarter, so I'd say there's still work to do there but we're well on the path on both of those. So I think, Srini, I think your comments are absolutely correct and the good news here is we've been working on this, it's just taken us a long time to put all these pieces in place but is rolling out now and we're not starting from zero, we've been at this for quite a while and all the elements are in place and now we're regaining momentum which is critical.
Operator: From Mizuho Securities we have Abhey Lamba on the line. Please go ahead.
Abhey Lamba - Mizuho Securities: Bob, I know you've spent a lot of time discussing this, you've discussed a lot about your internal factors that you're changing and part of the placement and how you're changing that, but are there really no external issues like customer demand or competitive landscape or move to the cloud and demand for new functionality, anything like that that's acting as a headwind to your business which is really making it harder for all these internal changes to take effect?
N. Robert Hammer: I might look at it a little differently. Clearly there are big changes in the competitive environment and landscape. The move to the cloud we've been working on that for a long time, we've put together about a year and a half ago our Cloud Services Group, they are doing really well. So that initiative with our MSPs and combined with that we've had a much stronger focus on the systems integrators, those programs down the line growth there looks really good. In the big enterprise, fundamentally we've got reasonably good growth there when you get underneath it in terms of what is going on, and the funnel for big enterprise looks pretty good. We just needed to get it to be better but it is not bad. The dynamic in the midmarket clearly changed, we had a lot new competitors coming in there, and as I said earlier we left it wide open, wide open meaning we didn't have as much resource focused on it and we didn't have the products that I'll call it fit the market price the market and go-to-market capabilities in that area until just now, and again it's not something we didn't understand, it just took us too long to put all this together along with all new organization changes to have an impact on our license revenue growth. It is there now and we're rolling it out now, but you are correct, I mean these were – it's tech, stuff changes and if you're not on top of it and you're not moving really aggressively to address changes like that, you got issues and we did. So, yes, there is certainly a market shift competitive element to this, but the other point I made is, it's not that we don't have underlying technology to address all of this, we are technically more advanced than anybody but that's really nice but if you don't take that technology and package it right and tie to these shifts, you're not going to get revenue, and now we're in a position to do that. But clearly – look, I identified it a year ago. I said if we don't change how we price, how we package, how we market, we're going to run – and everybody said, but you guys are on autopilot; I said, yes, but if we don't make these changes we're going to run into some trouble, and we did make the change we just didn't make it quite fast enough and now we're back on the path.
Operator: From Macquarie we have Rajesh Ghai on the line. Please go ahead.
Rajesh Ghai - Macquarie Equities Research: I had a couple of questions related to the product strategy and business unit changes that you have rolling out. You're launching standalone products, you are instituting module specific business units. I think you essentially targeted at addressing your midmarket woes. What gives you the confidence that this is the right strategy for the midmarket? Also how do you make sure that this new business unit structure does not hurt your execution at the enterprise and positioning related to a single platform architecture that has worked really well in the past?
N. Robert Hammer: That is a really, really good question. I'm going to answer and I'm going to let Al also. So number one, I'll be really clear here, our core strategy on our singular platform innovation to the enterprise remains and a lot of the underlying structure that we put in place deals with the platform itself and I will talk about that in a minute. So in our Simpana 11 which is going to beta next quarter, has a significant amount of new technology changes tied to the platform approach. So the point of that is we do not want to lose and we're going to continue to emphasize that singular platform, and a lot of the moves in these business units also include platform initiatives, like our vertical solution initiative. So clearly that is still a foundation point. With that, I'm going to turn this over to Al and let him give you more color on the structure.
Alan G. Bunte: A couple of more points, Rajesh. First of all, the business unit structure is not intended for just midmarket, it's across the Company, enterprise, midmarket, even SMB. So the individuals in those groups have responsibility for product lines or vertical solution sets again across the spectrum. The other piece that Bob didn't mention on the platform side because he's right, we're very insistent on you have to market standalone products and packages as well as you can still buy all these capabilities through platform bundles and packages. Technically, we also as we said are moving Mr. Brockway to the CPO function and there's a number of people on our product organization that will simply focus on the platform, it's technology, the opening up of the platform, the APIs, all those elements that are beyond the scope of just standalone product set.
Operator: From Sterne Agee we have Alex Kurtz on the line. Please go ahead.
Alex Kurtz - Sterne Agee: Just two real quick ones. Get a lot of questions from investors about VM software, could you just tell us what percentage of your midmarket deal flows seeing VM and win rates of deals above $1 million, so if you could give us some color on either of those that would be great?
N. Robert Hammer: We see VM in the midmarket in the virtualization space. They are at lower and midsize of the market. I'll let Al talk about the technology positioning versus VM. So clearly they have done well in that market segment. Our technology is significantly broader, it's got much lower cost of ownership and better functionality than VM, we just haven't packaged it to compete against them until recently. And with that, I'll turn it over to Al.
Alan G. Bunte: Yes, I think that [hit it] (ph) pretty well, Bob, and a couple more points there. One, they are not our biggest competitor even in the mid-market space. Some of our bigger, the traditional top three guys, are still bigger in terms of size there. And on the enterprise level, I don't recall seeing them at all, a larger scale environment or proposal. Again as Bob mentioned, we generally scale better, we have more automation or a much better fit solution-wise for large organisations than those folks. So those are generally the differences.
N. Robert Hammer: You're big market, you're dealing with many, many petabytes, 10 petabyte, 20 petabytes, 50 petabytes, you don't see these new competitors in those kind of big environments and where users don't want to consolidate multiple use cases, that's where our big multimillion-dollar deals comes from. We don't see guys like that in those deals. I think the other point Al made, it's not just VM but you've got other competitors, for example, appliances there's a lot of use cases out there where customers want to use appliances for consolidated infrastructure, makes it easier for them to deploy. We're just rolling out our appliances. But we didn't want to be in the hardware business. So it took us more time to put those programs together with our hardware and distribution partners, so we could bring world-class technology in the market and set up all the distribution capabilities tied to it. Took us a long time but now we have.
Alan G. Bunte: And lastly, we also don't tend to see the new guys in the cloud space or the managed service provider space very often, because again that space it looks like a big organisation, number one. Number two, there's an intense focus on operational and labor efficiency. So again, those type of solutions usually are not too popular in the larger service providers.
Operator: From Oppenheimer we have Ittai Kidron on the line. Please go ahead.
Ittai Kidron - Oppenheimer: A lot of the questions have been asked but I do want to focus again, Bob, on the competitive point. Can you tell us if there were some notable customer losses in this quarter or long-standing big customers of yours where you've seen competitors make their way in and eat a little bit of the pie that up until now has been potentially exclusive to you?
N. Robert Hammer: Our competitive loss has not changed per se. Our competitive loss statistics are pretty consistent. It's just that to your point on these midmarket deals that are mainly driven through channel, we don't see them because we didn't have products or the channel programs to compete against them or we didn't have those products in the hands of our sales teams that focus on the higher end of the midmarket. So the answer to your question is, yes. I mean it's not a question of competitive loss, it's just a question of not being positioned to win. And clearly there is no question that some of those products have gotten into our installed base on a departmental basis where we don't even see it. We're changing that now because we've put all this together, but clearly that did happen, it is happening out there. That's being shut down pretty quickly by the way as we bring these products out but it was an issue.
Operator: From Credit Suisse we have Philip Winslow on line. Please go ahead.
Unidentified Analyst: This is [indiscernible] for Phil. Just since you missed your internal expectations, just wondering how much of that miss in license revenue attributed to your [indiscernible] in spending prior to the new release of your Simpana and the new pricing model? And also as a follow-up, like what sort of feedback have you got so far with your Simpana release and that new pricing model?
N. Robert Hammer: The miss had nothing to do with new products coming out, I mean zero, had nothing to do with that. It was the other things I was talking about. And in terms of the initial impact from our customers and partners on these new products, they've been extremely good but it's very early. What I said in the earnings script is we expect to see some good uptick in the next quarter as we build momentum and clearly these products combined with the new products we're introducing next quarter will set the foundation for growth for the first half of FY '16 and build – and there's new additional products coming out that will establish a foundation for growth for the second half of '15. So the plan is all there, the models are reasonable, we've got enough sales capacity in place to do that, and now it's executing the plan. So we got lots of ways to succeed here now, if that answers your question.
Operator: From JMP Securities we have Greg McDowell on line. Please go ahead.
Rishi Jaluria - JMP Securities: This is Rishi Jaluria dialing in for Greg McDowell. Two quick questions for you. First, you had mentioned the appointment of Pete Kobs as VP of Global Accounts, just wanted to get your feedback, how do you expect this to change your go-to-market strategy and maybe help with some of the issues that you've discussed on this call? And second you had mentioned 300 new customers in the quarter. Can you give us some color on these customers, maybe in terms of geography, U.S. versus international, as well as customer type, enterprise versus midmarket? Thank you.
N. Robert Hammer: On Pete, we are still doing quite well with big large global enterprise accounts, we're seeing more and more of them. As we tie into the global systems integrator, they are adding to a pipeline of global accounts. In managing these global accounts across our different theaters, we've done okay with it but as the number of those accounts increases we just needed a lot more senior management oversight and structure in dealing with accounts that are rolling out significant amounts of our technology across the globe. So there is no question in my mind with Pete's skills and the increased momentum in that area that we'll see good growth in these, and these are deals – we want to focus on the seven and eight figure deals here and they are there. So we're happy to have Pete in that position. In terms of the number of new accounts, I'll let Brian Carolan give you a perspective on that.
Brian Carolan: Just in terms of new customer growth, we saw a better relative quarter out of EMEA and APAC than the Americas.
Operator: And from Lake Street Capital Markets we have Eric Martinuzzi on line. Please go ahead.
Eric Martinuzzi - Lake Street Capital Markets: You referred to historical growth rates in some of your prepared remarks. When you speak of historical growth rates, what's the number that you're thinking of?
N. Robert Hammer: High teens, 20%.